Operator: Good morning, ladies and gentlemen, and welcome to the Canadian Natural Resources Q2 2015 Conference Call. After the presentation, we will conduct a question-and-answer session. Instructions will be given at that time. Please note that this call is being recorded today, Thursday, August 6, 2015 at 9 o'clock a.m. Mountain Time. I would now like to turn the meeting over to your host for today's call, Doug Proll, Executive Vice President of Canadian Natural Resources. Please go ahead, Mr. Proll.
Douglas A. Proll - Executive Vice-President: Good morning and thank you for joining our second quarter 2015 conference call. Today, we will review the financial and operating results and including providing an update of our ongoing projects and operations. With me this morning are Steve Laut, our President; and Corey Bieber, our Chief Financial Officer. Before we begin, I would like to refer you to the comments regarding forward-looking information contained in our press release, and also note that all amounts are in Canadian dollars, and production and reserves are expressed as before royalties unless otherwise stated. I would like to make a few comments before turning the call over to Steve and Corey. In response to volatile and sharply changing commodity prices, we have increased our focus on reducing our cost structures both operating and capital, while maintaining safety and environmental standards and ensuring that our ability to be nimble in allocating capital is enhanced. This focus includes not only immediate cost savings, but also implementing changes to our processes that will last through commodity price cycles. This strategy has resulted in significant savings to-date, which is apparent in our first half 2015 operating results. At Canadian Natural, we have a proven, effective, value-driven strategy. We delivered cash flow from operations of almost $2.9 billion or $2.63 per share in the first half of this year, albeit down from the first half of 2014 due to lower commodity prices. We continue to execute on our capital programs within our available cash flow. We focus on safe, effective, efficient, and environmentally-responsible operations resulting in reliable operating performance across our diverse asset base and providing strong cost control management. Canadian Natural is committed to new technology and development and sustainable environmentally-responsible operations. We have a large, well-balanced portfolio of assets with significant exposure to light and heavy crude oil, as well as significant natural gas upside, while continuing the transformation to long-life, low-decline assets. Steve will provide an update on Horizon 2B and Phase 3 progress, where we will increase production capacity to 250,000 barrels a day targeted for 2018, reduce operating costs to the $25 to $27 per barrel level, and of course, complete the project spend. Our balance sheet is strong. We've maintained strong lines of liquid resources and we have maintained our current quarterly dividend payment. And we are increasing sustainable cash flow from operations. Thank you. And I will now turn the call over to Steve.
Steve W. Laut - President & Non-Independent Director: Thanks, Doug, and good morning, everyone. Canadian Natural is in a strong position. The resilience of our strong, diverse and well-balanced asset base, the robustness of our business model, and the effectiveness of our strategies, combined with our ability to execute these strategies, has allowed us to quickly react to a low-commodity price environment. Canadian Natural is built to withstand low-commodity prices. 2015, Canadian Natural is committed to lowering the cost structure in a methodical and structured manner. We're committed to completing Horizon Phase 2/3 on schedule and on budget. We're also committed to maintaining the optionality of our balanced and diverse asset base, ensuring we can act quickly to change. Most importantly, we're committed to maintaining balance sheet strength, creating value and delivering returns to shareholders. In the second quarter, we delivered record natural gas production at 1.78 Bcf a day, exceeding production guidance and up 9% over Q2 2014. Oil production was strong and we expect to deliver annual oil production at the midpoint of guidance, despite the forest fire impact to both Kirby and Primrose and the extra days required to complete the Horizon outage. Canadian Natural's operations continue to be effective and efficient, and we've been able to achieve significant cost savings compared to our operating costs in 2014 as well as into 2015. We've done that through better effectiveness, efficiency and innovation. Operating costs were down from Q2 2014 to Q2 2015, 22% at Pelican Lake, 13% in our Canadian light oil production, 15% in primary heavy oil and 20% in Horizon, with 14% in North American natural gas. And because of the cyclic nature of Primrose production, it's not meaningful to compare quarter-to-quarter. That being said, annual thermal operating costs are targeted to be down 13% in 2015. As a result, we'll be towards the lower end of our operating cost guidance for 2015, with the exception of Horizon where we're lowering our operating cost guidance $1 a barrel to $30 to $33 a barrel. This is on top of the first $1 barrel reduction in our cost guidance earlier this year. Canadian Natural's balance sheet remains strong and we maintained significant capital flexibility, effectively allocating capital and keeping our transition to a longer-life, low-decline asset base intact. In 2015, we've exercised our capital flexibility, deferring $2.4 billion of capital spending in January. Another $150 million of capital optimization announced in March. In May, we announced another $300 million in capital cost reductions. And today, we're announcing another $245 million reduction in capital costs for the remainder of the year. These cost reductions reflect additional cost savings from our program, a result of our ability to optimize our execution, enhance productivity, right-scope projects, leverage technology, as well as lower energy and material costs. As a result, on a combined basis, including deferrals, we've taken out over $3 billion from original 2015 budget. The 2015 capital budget is set at $5.5 billion. $2.15 billion is allocated to execution of Horizon Phase 2/3 expansion, the major component of our transition to a longer-life, low-decline asset base, capital spending that delivers no additional production in 2015. And from a production perspective, our annual oil and gas production guidance remains unchanged. Importantly, using strip pricing of $51.49 WTI for 2015 and AECO pricing at $2.71 and at the midpoint of production guidance, Canadian Natural generates $6 billion in cash flow. Dividends are $1 billion, and with the current capital program of $5.5 billion, we'll utilize $500 million of our balance sheet to fund the $2.15 billion of capital allocated to Horizon Phase 2/3 expansion. Our balance sheet remains strong and is projected to end the year at 37% debt-to-book and debt-to-EBITDA at 2.6. We're also committed to monetizing Canadian Natural's royalty assets, assets that generate $96 million on an annualized Q1 basis. We target this monetization in 2015. However, we're flexible on timing to ensuring maximized value for shareholders. This provides Canadian Natural with additional balance sheet flexibility. Canadian Natural is built for the low commodity price cycle. Our focus on effectiveness, efficiency and innovation is well underway, and we're just getting in our stride. As we progress through 2015, we'll continue to strengthen our capacity to deliver value through the commodity price cycle. So, touching on each of the assets, starting with the E&P assets. Natural gas production in North America was up 7% Q2 2015 over Q2 2014 at a record level of 1.71 Bcf a day. It's driven largely by acquisitions and our horizontal liquids rich programs in the Montney and Deep Basin in 2014. The 2015 program is at 20 wells versus 76 in 2014. And production growth for 2015 will be 11%. Production growth in our light oil and NGL assets in Canada continued to perform to expectation. Our 2015 drilling program is down to 7 wells from 101 wells in 2014, and quarter-over-quarter production is down 4%. In our light oil operations, we have stopped all drilling in the high-tax North Sea Basin. In March 2015, the UK government reduced the supplementary charge on oil and gas profits from 32% to 20% effective January 1, 2015. In addition, the legislation reduced the PRT rate from 50% to 35% effective January, 2016. They also replaced the existing Brownfield Allowance program with a new Investment Allowance effective April 1, 2015, which should be more administratively effective. These changes are welcome, enhance the competitiveness of development activity in North Sea. However, at current commodity price levels, these projects do not compete for capital in Canadian Natural's portfolio. In Offshore Africa, our Espoir and Baobab drilling programs are underway, and we're achieving execution efficiencies and excellent results. At Espoir, the first two wells are on production at 4,500 barrels a day net, well above expectations, with cost tracking below control estimates. Drilling and control operations are very effective and the 10-well program will be complete in 2016. Our production target from this program is 5,900 barrels a day net. At Baobab, the first well is on-stream at 2,000 barrels a day net, exceeding expectations. Drilling and completion operations are also going very well at Baobab and we expect to complete the six-gross-well program in early 2016 on schedule. The Baobab program is targeted at 11,000 BOEs a day. We drilled 40 wells on our primary heavy oil assets in the first half of 2015 versus the 346 wells we drilled in the first half of 2014. We target drilling 179 wells in 2015 versus 896 wells in 2014. In addition, we've shut in roughly 4,000 barrels a day of heavy oil production from heavy oil wells that are high cost. Not surprisingly, yearly production started to be off roughly 11% in 2015 versus 2014. Heavy oil is one of our most flexible capital and can easily be dialed back up or ramped back up again if we choose. At Pelican Lake, production is strong, up 5% from Q2 2014 at 52,000 barrels a day, with industry leading operating costs at $6.98 a barrel in Q2, down 22% quarter-over-quarter, sharing significant cash flow even at these lower commodity prices. Pelican Lake production will increase by 5% in 2015 with no wells drilled. The polymer flood in Pelican Lake is a clear example of how Canadian Natural leverages technology to unlock reserves, enhance production and lower operating costs to bring on long-life, low-decline production. Pelican Lake is an important part of our transition to long-life, low-decline asset base and will add significant and sustainable production in the near-term, mid-term, and long term. Our thermal in situ assets are also important part of our transition to long-life, low-decline assets. And thermal production is largely influenced by the cyclic nature of Primrose's operations. In Q2, we entered into lower part of the production cycle with production at 105,108 barrels a day. The forest fires at Primrose caused production curtailment, impacting Q2 Primrose's volumes by 13,000 barrels a day. Primrose East Area 1 steamflood is performing as expected, with current production at 11,000 barrels a day, on track to our expected 15,000 barrels a day plateau, confirming the validity of steamflooding at Primrose East Area 1. Kirby South production is at 32,000 barrels a day with excellent thermal efficiencies. The SOR is at 2.6 for wells in SAGD mode, top-tier thermal efficiency for SAGD operations. Q3 thermal production guidance is between 128,000 and 142,000 barrels a day, as we're coming out of low portion of the cycle at Primrose. Turning to Horizon, the cornerstone of our transition to long-life, low-decline assets. The second quarter was an important quarter for Horizon. As you will recall, we moved the turnaround originally planned for the fall this year into 2016. As we're ahead of schedule of Phase 2B expansion, allowing us to bring on some components of the expansion ahead of schedule, creating synergies for the turnaround when moving to the spring of 2016. We also further authorized the schedule by moving the outage and remain to address the work required before the spring 2016 turnaround into June in the fall of this year, allowing us to further capture opportunities to optimize the fractionator tower. All good news, reflecting ever-increasing strength of our operations and maintenance teams at Horizon. Although we had a few hiccups coming back from the turnaround in June and July, run rates have been very strong since that time. Q2 production was 96,607 barrels a day, below expectations, as it took us longer to address some found work in the fractionator tower. This additional work was not expected but not uncommon. July production came in at 124,187 barrels a day, and current run rates for the last two-thirds of July and August have been very strong in the mid-130,000s. Q3 production is targeted between 124,000 and 131,000 barrels a day. And yearly production guidance for Horizon remains unchanged at 121,000 to 131,000 barrels a day. We target utilization rates in the 92% to 96% range. And it's best to look at utilization over long periods of time. For the first seven months of 2015, Horizon utilization rates have been 93.4%, exceeding Canadian Natural's industry-leading 2014 utilization rates of 89% and 2013 rates of 87%. We still have room to improve and our expectation is that we will continue to improve, even though we're running at utilization rates that are top in class compared to other fully integrated peers in Fort McMurray. Horizon operating costs in Q2 were excellent, coming in at $29.25 a barrel normalized for the turnaround, down slightly from the $29.73 a barrel in Q1 and down significantly 19% from the $36.61 a barrel achieved in Q2 of 2014, as a result of our continued focus in effective and efficient operations as well as highlighting the significant impact higher volumes have on operating cost, which bodes well for the anticipated reduction in operating costs we target with Horizon Phase 2/3 expansion. Operating cost guidance for Horizon has been reduced for the second time in 2015, down $1 a barrel to $30 to $33 a barrel, roughly 20% less than 2014 costs. This is a cost savings of $360 million in the year if you compare it to 2014 unit rate costs. The overall Horizon Phase 2/3 expansion is going very well. As we announced earlier this year, we'll take advantage of some portions of Phase 2 being completed ahead of schedule, currently at 62% complete. That tie-in work can now be completed early and time to coincide with the remaining turnaround scope in May 2016 where we can capture execution synergies, lower costs, and improve production. Besides the execution synergies, 2016 will also be positively impacted, as we're going to produce roughly an additional 4,000 barrels a day after May 2016. And when the remainder of Phase 2B equipment is to be commissioned on the original schedule in the fall of 2016, that commission will be smoother. As a result, the ramp-up of the full 45,000 barrels a day in the fourth quarter will likely add an additional 10,000 barrels a day to the originally planned fourth quarter 2016 production volumes. Operating costs will also be lower than planned in 2016 as a result of the higher production volumes. Phase 3, the final 80,000 barrels a day portion of the expansion will take us to 250,000 barrels a day of production, is on track at 59% complete at the end of Q2. We target mechanical completion in late 2017. At this point, we do not see Phase 3 moving ahead of the target schedule, as we've seen with both Phase 2A and Phase 2B. We're also not at this point anticipating any increase in nameplate design capacity of 45,000 barrels a day for Phase 2B and 80,000 barrels a day for Phase 3, as we've seen in Phase 2A. The day Horizon is fully on stream is getting very close, with Phase 2B coming on in stages earlier than expected in 2016 for 45,000 barrels a day, and Phase 3 for the final 80,000 barrels a day complete by the end of 2017, delivering 250,000 barrels a day of long-life, low-decline, sustainable, high-value and high-netback production for decades to come. Horizon expansion is a key part of our transition to a long-life, low-decline asset base and will have significant and sustainable production for decades to come. In a $70 world, we anticipate Horizon will add $3.3 billion of cash flow over capital requirements per year. And for reference, in a $50 world, Horizon will deliver $1.6 billion of cash flow over capital requirements per year. Canadian Natural has a strong, diversified and balanced asset base that contains significant upside. In 2015, we'll focus that development of upside with a focus on Horizon and Côte d'Ivoire. We are, however, preserving our resource base that contains significant upside, which, as prices stabilize, we'll be able to develop in a disciplined, cost-effective manner when we choose. Our thermal assets have roughly 11 billion barrels to develop in a cost-effective manner. Pelican Lake has 550 million barrels to develop. And we have over 8,000 primary heavy oil locations in inventory, significant liquids-rich gas sands with over 1 million acres in the Montney and very large positions in the liquids-rich Deep Basin, plus nearly 500,000 acres in the Duvernay. Significant upside that our strategy allows us to maintain and develop in a cost-effective manner on a schedule that optimizes value for Canadian Natural's shareholders. In 2015, we remain focused on lowering the cost structure in methodical and structured manner, completing Horizon Phase 2/3 on schedule and on budget, maintaining the optionality of our balanced and diverse asset base, ensuring we can act quickly to change and, most importantly, we're committed to maintaining balance sheet strength, creating value, and delivering returns to shareholders. Canadian Natural is built to withstand low commodity price cycles. We've been here many times before, and each and every time, we've come out of the cycle stronger and winning the cycle. I expect this cycle to be no different. With that, I'll turn it over to Corey to discuss our strong financial position. Corey?
Corey B. Bieber - Chief Financial Officer & Senior Vice-President, Finance: Thank you, Steve, and good morning, everyone. Looking at the quarterly results and against the backdrop of a 44% drop in WTI crude pricing in Q2 of 2015 versus Q2 of 2014, Canadian Natural incurred a net loss of $405 million. This loss was largely driven by the $579 million charge taken to income in respect of the 20% increase in operating income tax rates applied against our future tax liability. This means, all things being equal, future cash flows will be reduced by $575 million. By extension, we will reinvest $579 million less back into the growth of the business. Based upon third-party research from an Edmonton-based consulting firm, this lower level of future reinvestment likely equates to about 4,100 fewer position years of lower direct, indirect, and induced employment in future years. Of course, future cash flows and results will be similarly impacted. Adjusting for these and other non-operational items, the company generated adjusted net earnings of $178 million on cash flow of $1.5 billion, slightly in excess of total capital expenditures of $1.3 billion. Our financial strength is bolstered by a significant available liquidity. During the second quarter, we successfully renewed and extended our committed bank facility's four-year and five-year terms, while at the same time increasing the size by $359. Our primary covenant under these loans was also changed from a debt-to-EBITDA test to a debt-to-capitalization test, more consistent with our U.S. peers and most of our Canadian large cap peers. In the debt capital market, we repaid an MTN and reopened a 2020 maturity. As a result of all of these transactions and amendments, at the end of Q2 2015, we had approximately $3.3 billion of available bank lines. The second quarter of 2015 continued to demonstrate Canadian Natural's financial and operational resilience and flexibility. Following a very significant reduction in commodity pricing, Canadian Natural was very quick and nimble in its reactions. In total, and including the most recent $245 million capital cost savings reduction, and since the original 2015 capital budget issued last November, Canadian Natural has found 2015 cost savings or capital deferrals amounting to about $3.1 billion or 36%. Conversely, based upon midpoint levels of guidance, we anticipate annual production growth of 11% over 2014 levels, a very significant achievement in light of how capital reinvestment is altered. In my opinion, few companies would be able to effectively execute this type of capital flexibility in such a short period of time. Just as importantly, defined growth plan remains largely intact with the Horizon major project program continuing to help drive our path to a more sustainable, low-decline, long-life asset base. As Steve noted, at current pricing and production guidance, we would expect to generate approximately $6 billion of cash flow. Excluding the Horizon major project spend, the capital associated with generating this cash flow is approximately $3.35 billion. After spending approximately $1 billion on the corporate dividend program, our remaining free cash flow from ongoing operations is about $1.65 billion, creating a slight balance sheet draw of $500 million to reach the targeted Horizon major project spend of $2.15 billion. Based upon strip pricing, foreign exchange rates and midpoint production guidance, we would currently anticipate ending 2015 at about 2.4 to 2.6 times debt-to-EBITDA on a trailing 12-month basis. Our new covenants debt-to-book capitalization is targeted to exit around 37%. This is well within any covenants and quite reasonable, given the current stage in the pricing cycle. No value is attributed to the potential monetization of the ever-growing royalty revenue streams in these estimates. I would refer you to our press release to find a few more facts identified with respect to this revenue stream. I believe that we have prudently and methodically can manage both capital to preserve value and create value to-date and allow for optionality to generate incremental value to shareholders throughout the business cycle. In summary, I believe Canadian Natural is financially strong and has a well thought-out plan for achieving the path to low-decline, long-life asset base. Thank you. And back to you Steve.
Steve W. Laut - President & Non-Independent Director: Thanks, Corey. And we'll open the line up now for questions, Heather. Thank you.
Operator: Your first question comes from the line of Phil Gresh with JPMorgan. Your line is open.
Phil M. Gresh - JPMorgan Securities LLC: Hey. Good morning. The first question is just around the capital budget. Appreciate all the additional color on 2015. I guess I was hoping maybe you could give us perhaps some initial thoughts on what 2016 could look like given, number one, the projects that are underway, and number two, kind of the macro environment right now and maybe it's framing kind of a minimum or a maximum, or just some general thoughts. Thanks.
Steve W. Laut - President & Non-Independent Director: Thanks for that question and I'll give you the answer that we had said last call. As you know, here in Alberta, there is a royalty review that will be going on. There's also a greenhouse gas review going on. So for us, to make any kind of estimates on 2016 until that review is completed, we know what the royalty is going to be. And if there's going to be any greenhouse charters, if there are going to be any increases over the increase we have today, we can't make any kind of projection what 2016 will look like. That being said, I think we will still be committed to getting Horizon completed. And we are seeing significant cost reductions. And I think we'll be able to see when we go to 2016 that our capital costs to complete the remainder of the work at Horizon will be less than we originally anticipated. We're working through that right now, but I think there could be a drop in cost that way. Other than that, we really can't give you any other commitment. And I think you'll probably see more drilling in Côte d'Ivoire. But other than that, we have to wait and see how the world shakes out.
Phil M. Gresh - JPMorgan Securities LLC: Yeah. Understood. Maybe just could you tell us what Horizon would be for next year at this point, given that it's locked in?
Steve W. Laut - President & Non-Independent Director: It's not totally locked-in yet. So we're still working on the cost reduction. So we'll wait until we come with the budget. And at that time, we'll give you a better color.
Phil M. Gresh - JPMorgan Securities LLC: Okay. And on Horizon, a clarification question, the reduced operating cost guidance, is that factoring – is that on an adjusted basis or is that on an unadjusted basis?
Steve W. Laut - President & Non-Independent Director: That's on an unadjusted basis.
Phil M. Gresh - JPMorgan Securities LLC: Got it. Okay. And as we look at the long-term trajectory, you mentioned the $25 to $27 target. The performance has been very strong year-to-date. Would you say that, if there's an underlying base level, that could actually be lower than the $25 to $27? I realize it's early for that question, but the base levels continue to come in below.
Steve W. Laut - President & Non-Independent Director: Yeah. I think that's a very good question and a little too early to commit. I think sort of the bias would be to be lower. We're seeing very good efficiencies, very good effectiveness. We're getting good utilization and run times. And we expect when we get on to Phase 2 and 3 that reliability will actually go up from where we are today. So, all those things are positive as you go forward. But we are bringing on new sets of equipment, and so we'll have to see how that all works as we get there. But right now, I'd say that bias would be to be lower rather than higher.
Phil M. Gresh - JPMorgan Securities LLC: Okay. Fair enough. Last one is just maybe you could talk about what the demand feels like out there for the royalty lands in light of the recent transaction that was done and your general degree of patience around this in terms of monetizing the opportunity.
Steve W. Laut - President & Non-Independent Director: Yeah. As you know, we're very patient. We're looking here to maximize value for shareholders. So, sometimes being patient pays off. And we're doing that. I would say my view is the demand is still very, very strong, if not stronger than it has been. And so there's lots of people knocking on our door. So demand is there.
Phil M. Gresh - JPMorgan Securities LLC: Okay. All right. Thank you.
Operator: The next question comes from the line of Neil Mehta with Goldman Sachs. Your line is open.
Neil S. Mehta - Goldman Sachs & Co.: Good morning.
Steve W. Laut - President & Non-Independent Director: Good morning.
Neil S. Mehta - Goldman Sachs & Co.: So, as we think about where you are in the capital spending cycle a couple of years from now, the company should be generating a sizable amount of free cash flow. So, with that in mind and framing that, just wanted your perspective on dividend growth and how you think about dividend growth over the next couple of years.
Steve W. Laut - President & Non-Independent Director: Thanks, Neil. That's a very good question. We get asked this quite a bit. And really what – the answer has been the same. We try to balance the utilization of that cash flow and how we allocate that cash flow. So we balance the cash flow between resource development, our returns to shareholders through dividends and buybacks, opportunistic acquisitions, and balance sheet strength. And we'll try to take a balanced approach, as we have always. So we'll look at that as we go forward. If you look at it, the one resource development, I think obviously, we think we have pretty optimal capital program concerning the commodity price we're in today. As commodity prices go up, we'll be able to allocate more capital, but we still have additional cash flow to allocate then. So we're not going to see that taking up a lot of the unutilized cash flow. We'll come back to dividends and share buybacks. But opportunistic acquisition is another use for that cash flow and we're not averse to doing acquisitions and we're good at it. That being said, we don't see any gaps in our portfolio and so we don't really need to do anything. Our balance sheet, we like to make sure we have a strong balance sheet and particularly coming out of this cycle. I think you'd see some cash flow allocated to balance sheet to strengthen that even further, which then leads us back to dividends and share buybacks. And as you noticed, we have a bias towards that. Management is biased towards returns to shareholders. And if you look back at history where we can't promise anything, if you look back in 2009 when Horizon Phase 1 came on, the first phase, our return to shareholders increased dramatically after that point. So we can't promise anything, but if history is any prediction of the future, I think you'll see more allocation to returns to shareholders.
Neil S. Mehta - Goldman Sachs & Co.: Very helpful. And then a question on the differential. It was relatively tight in the second quarter. We've seen signs a bit widening back out. Do you feel like the differential as it sits right now is close to transportation economics and closer to normal? And then what are the pluses and minuses that you guys are thinking about as you try to forecast where the differentials will go?
Steve W. Laut - President & Non-Independent Director: Yeah. I think it's a very good question, Neil. The differentials are about $14 or $15 of WTI right now. That's a little wider than we'd anticipate in this price environment and that's driven largely by the fact there's about 150,000 barrels a day of demand off due to turnarounds and work in refineries. We expect most of that demand to come back here by the end of the third quarter and so we should see differentials again narrow.
Neil S. Mehta - Goldman Sachs & Co.: And last question for me is just the tailwind of currency, with the dollar strengthening against the Canadian dollar. How does that impact your business from a cost perspective as the way you approach production and just running the business broadly?
Steve W. Laut - President & Non-Independent Director: It doesn't really impact the way we run the business at all. We're focused, as you know, most of our costs, especially on the operating cost side, are in Canadian dollars. Some of the equipment we have to buy is going to be in U.S. dollars. But most of that major expansion is in Horizon and a lot of that equipment has already been procured. So we're really not impacted too much by the strengthening U.S. dollar. So it's a positive for Canadian-based companies.
Corey B. Bieber - Chief Financial Officer & Senior Vice-President, Finance: Right. Just to add a little bit to that. $0.01 change in FX is net $55 million and $60 million increase on net cash booked.
Neil S. Mehta - Goldman Sachs & Co.: It adds up. All right. Thank you very much, guys. Appreciate the time.
Operator: Your next question comes from the line of Greg Pardy with RBC Capital Markets. Your line is open.
Greg Pardy - RBC Capital Markets LLC: Yeah. Thanks. Good morning. I mean, quick ones for me, but maybe just as a follow-up on Horizon costs. Steve, I think in the past you guys talked about 100,000 of flowing as a capital intensity. Would that still have been the baseline to which you're measuring the new costs you're seeing?
Steve W. Laut - President & Non-Independent Director: The baseline is below 100,000 barrels a day, what we set. And we're seeing that we may be able to get a bit lower than that as we go forward.
Greg Pardy - RBC Capital Markets LLC: Okay. So, Steve, how much is it below 100,000? Is it a lot below 100,000 or is it?
Steve W. Laut - President & Non-Independent Director: We're looking in sort of the – I'd say the 90,000 to 95,000 barrels.
Greg Pardy - RBC Capital Markets LLC: Okay. Okay. So, that'll be the base. Okay. That's helpful.
Steve W. Laut - President & Non-Independent Director: And remember, remember, Greg, we are building normally, we're building a mining operation, extraction operation and a fully upgraded thing. So, that's the 34-degree API oil.
Greg Pardy - RBC Capital Markets LLC: Right. Okay. Thanks for that. And the second question is just around the 4,000 barrels a day shut-in. We know it's primary heavy. Can you give us just an idea where that was?
Steve W. Laut - President & Non-Independent Director: It's scattered throughout Northeastern Alberta, around the Lloydminster and Bonnyville area.
Greg Pardy - RBC Capital Markets LLC: Okay. Okay. Got it. And the last question is just around your Western Canadian gas production. How should we think about that into next year? I mean, you obviously didn't drill a lot of wells in the second quarter period but you probably drilled more gas wells than I expected. But how should we think about decline rates and so on, and what the game plan is with gas into 2016?
Steve W. Laut - President & Non-Independent Director: I think, Greg, we're going to wait until we see what the royalty system is going to be and what the greenhouse gas system will be before we set our budget for 2016.
Greg Pardy - RBC Capital Markets LLC: Okay.
Steve W. Laut - President & Non-Independent Director: Also, we have some great wells to drill in BC, Septimus, and other areas in BC that are liquids-rich that can add a lot of production at relatively low cost. I know you're not asking this question. I expect you might ask it. We're seeing significant cost reductions. At Septimus, our completion costs are actually down 40% from where we were in 2014. So we're driving innovation, cost reduction. So development of BC liquids-rich Montney gas looks pretty good.
Greg Pardy - RBC Capital Markets LLC: Okay. Great. Thanks a lot.
Operator: Your next question comes from the line of Menno Hulshof with TD Securities. Your line is open.
Menno Hulshof - TD Securities: Thanks and good morning. Just to go back to the four year-to-date CapEx cuts. How much of the $3.1 billion would be related to improving capital efficiencies versus cuts to flexible capital?
Steve W. Laut - President & Non-Independent Director: I think the way to look at it is, of the $3.1 billion, the first $2.4 billion was largely deferrals. And then the next, say, $300 million was about half deferrals and the rest have all been cost reductions, assets and productivity, and some reduction in the rates that contractors charge us and just better effectiveness and great scoping.
Menno Hulshof - TD Securities: Okay. Thanks. And then, just to follow-up on Greg's question on shut-ins. Do you have any other production shut-in outside of the heavies? And given pricing, can we expect that number to grow into the end of the year?
Steve W. Laut - President & Non-Independent Director: On the heavy oil side, Menno, we don't have any more shut-in and I don't expect we'll have any more shut-in for the rest of the year at this price level. As far as other shut-ins, nothing really shut in other than the shut-in gas because of the transportation issues with TCPL with doing that outage work on the line, which has affected the whole industry in Northwestern Alberta and in BC.
Menno Hulshof - TD Securities: Okay. Thanks, Steve. That's it for me.
Operator: Your next question comes from the line of John Herrlin with Société Générale. Your line is open.
John P. Herrlin - SG Americas Securities LLC: Yeah. Hi, Steve. Maybe you addressed this and I missed. But with Horizon, you extended the time that you were doing planned maintenance. What is necessary now? What did you find that caused you to make a more protracted turnaround there?
Steve W. Laut - President & Non-Independent Director: Thanks, John. So what we did part of the turnaround was some of the – or the outage we moved into the spring from the fall. There's some work that has to be done, check pressure, vessel valves, stuff to make sure that they're compliant, you've got to do those on time. So we moved those ahead. We also took that opportunity to change the trays in the fractionator tower because by having more optimal trays, we expected to get better production, which we have. And we went in there because the fractionator tower, as you know, was designed for 250,000 barrels a day. We had to build up a coke in the bottom trays that we hadn't anticipated. It hasn't affected the production of the frac tower yet, but it would have if we hadn't gone in there. And that coke, as you can imagine, is fairly hard. And it took us a long time to get it out of there. Basically, we had to put guys in there with jackhammers to do it.
John P. Herrlin - SG Americas Securities LLC: Okay. Thanks. I just had never seen the phrase before. I was wondering what it was. You're one of the few E&Ps that's generating free cash flow. What are your thoughts on the M&A now? Would you ever, as I've asked you before, go south of the 49th parallel or go to the U.S.?
Steve W. Laut - President & Non-Independent Director: So, John, it's going to be the same answer. I know you asked the question. You're maybe hoping I'll answer it differently at least. But as you know, we don't have any gaps in our portfolio and we don't see any gaps. So what we're looking at is only the things that are very opportunistic, that fit with us that we can see that we can add value right away. So, right now, we don't see any of that and it's probably too early to be doing any of that anyway. So, at this point in time, we don't anticipate much out there.
John P. Herrlin - SG Americas Securities LLC: All right. Thanks, Steve.
Operator: There are no further questions at this time. I would turn the call back over to our presenters.
Douglas A. Proll - Executive Vice-President: Thank you, ladies and gentlemen, for attending our conference call. Canadian Natural has a very strong and diverse asset base, a complementary balance of production and a strong well-developed plan for the systematic development of this asset base. We do concentrate on safe, efficient, reliable operations and a strong financial position supported by readily available liquid resources. And finally, Canadian Natural is responding to lower commodity prices by focusing on reducing cost structures and implementing changes to process this to ensure these changes are long lasting. If you have any further questions, please give us a call. Thank you again and we look forward to our third quarter conference call in early November.
Operator: This concludes today's conference call. You may now disconnect.